Operator: Greetings, and welcome to American Resources Corporation Third Quarter 2022 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Mark Laverghetta, Vice President of Finance and Communications. Thank you Mr. Laverghetta. You may begin.
Mark LaVerghetta: Thanks, [indiscernible]. Good afternoon. On behalf of American Resources Corporation, I'd like to welcome everyone to our third quarter of 2022 conference call and business update. We always welcome this opportunity to provide an update and discuss our accomplishments since our last update and also to discuss how we're uniquely positioned with both divisions of our company, American carbon and our critical minerals division ReElement technologies. Also on the call today is Mark Jensen, American Resources Chairman and CEO; and Kirk Taylor, our Chief Financial Officer. Before we kick it off, I'd like to remind everyone of our normal cautionary statements. Certain statements discussed on today's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from the results discussed in the forward-looking statements. When considering forward-looking statements, you should keep in mind the risk factors, uncertainties and other cautionary statements, which are laid out in our press releases and SEC filings. We also do not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. Lastly, we will be holding a question-and-answer session today following our prepared remarks. For anyone waiting or wanting to ask a question, you'll need to dial in by phone to get into the queue. We're going to begin today with a few comments from Kirk Taylor. Kirk?
Kirk Taylor: Thanks, Mark. Thank you, everyone for joining us this afternoon. I'll start first with some financial highlights. We'll dive into results from the quarter. So third quarter of 2022 showcase our focus on execution that continue to position our company for long term value creation. We're looking at that execution over the third quarter as important to take a step back and highlight some of our accomplishments on all fronts. From a corporate standpoint, we've established a special committee to evaluate strategic opportunities to best unlock value of the company and subsequently even announced the share repurchase program. We've repurchased 7.5% interest ReElement so that American resources now is 100% of ReElement technologies. And we've also announced our plan to spin off every element into his own public company. Further, we sold the exclusive rights of our carbon nanostructure in graphene pads to Nova Stero for $16 million worth of Nova Stero Class A common shares. Again, these items are highlighting our ability to unlock shareholder value. Within ReElement, we've achieved groundbreaking success in producing greater than 99.5% pure rare elements at a commercial scale, being the first to accomplish this domestically is a fabulous team effort by our entire group. We've also secured an initial independent working capital facility as we position ReElement as a standalone company and allowing it to scale to meet market demands. Further on, we've added key talent at the technical level, at the commercialization level and engineering level adding to our best in class team. We've entered into our first long term collaborative partnership to help secure our domestic supply chain for critical minerals. And we're looking forward to expanding those relationships. On the American carbon front, we've commenced initial production sales there Carnegie 2 metallurgical mine. We've also received a commitment totaling $1.9 million of federal new market tax credits for our company's Wyoming County Coal expansion. These federal tax credits will be combined with the previously announced $45 million tax exempt industrial development bonds from the state of West Virginia. Moving into financial highlights. For the quarter, we realized revenues totaling $9.5 million. While this was a quarter-over-quarter decline due to our decision to idle Perry County, and responses historic flooding in the region, which we will discuss later on this call, it did showcase a 238% year-over-year increase. While mining is not completely linear, our carbon platform is uniquely positioned to be a meaningful contributor to much needed supply growth a metallurgical and specially carbon products from our region where a lot of mines are currently being exhausted and have very short lives left. We will remain focused on monetizing our platform of assets for our shareholders. We will also be discussing these items, our operations and actions further on in this call. Our unique platform of assets is in a great position to deliver what we believe is our attractive returns and value to our shareholders. This includes our mining assets as well as a re-element technologies division, which we are in the process again of spinning off into his own standalone public company. Over the past nine months, we've been able to grow production, our revenue and streamline our capital structure, while investing over $22 million of expense development costs to position both American carbon and relevant technologies platforms for strong growth in high demand markets. Our debt balance currently sits at approximately $12 million in total, which $400,000 is made up of equipment financing, $9.4 million in form of convertible notes from one of our long term partners and $2.2 million in the form of a mine development loan from one of our top customers. Our shares outstanding currently sit at just 68.7 million Class A common shares. Our short term available liquidity totals over $20 million, including almost nearly $5 million cash on hand, nearly $6 million in accounts receivable and $10 million untapped equipment financing. I now like to turn the call over to Mark LaVerghetta for some comments on our relevant technologies division. Mark?
Mark LaVerghetta: Thanks, Kirk. As we frequently state, our ReElement technologies division represents an incredibly exciting and very strategic opportunity for us. I'd like to reiterate the significance of our recent milestone of achieving ultra high pure rare earth elements on a commercial scale. First, we're the first domestic commercial producer of separated and purified rare earth elements. The significance of this milestone is worth diving into a bit. One our technology has showcase that we meaning the United States no longer needs to depend on foreign adversaries for the ability to refine, separate and purify these minerals necessary to advanced high tech green energy including electric vehicles and wind, energy, and defense applications. I'm sure we've all seen the reports on the F-35 being grounded for several reasons. One being its reliance on metals and parts sourced from China. Our innovative chromatography technology is a clear differentiator in the market for several reasons. Its modular structure and design enables it to scale congruently with the needs of the market, meaning we do not have to lay out a huge CapEx investment and wait for the market to either adapt or catch up. It's also very flexible to the type of feedstocks and material we want to focus on refining. Strategically we feel it is the most important to address our recycling and sustainability needs to truly close the loop of these critical minerals. Our first commercial production line produces high purity rare earth magnet metals such as neodymium, praseodymium, and dysprosium from recycled rare earth permanent magnets. Again, these are the metals needed to produce high efficiency electric motors, such as those used in electric vehicles and wind turbines. The flexibility of this technology allows it to be applied to a variety of feedstocks, and we are still on a timeline to have our second production line operating by the end of this year. This production line will isolate and purify specific battery minerals such as lithium, cobalt, nickel and manganese from end of life recycled lithium based batteries. Additionally, specific to battery material market, our technology can efficiently adapt to changing battery chemistry, which is currently taking place to its low cost modular and environmentally safe aspects. We are currently exploring chromatography recycling solutions for LFP and nickel metal hydride battery chemistries to recover and re-purify the inherent critical minerals back to ultra pure qualities. Our chromatography technology allows us to do this in an efficient way, where we do not have to reinvent the wheel, but rather modify our existing process. This is another clear differentiator of our technology where other recyclers cannot bring the minerals back to battery grade or are limited to only an NMC battery chemistry. As we bring our battery production train online, we are confident in our technologies capabilities, and value it brings to the market. As such, we are confident that we will continue to develop additional collaborative partnerships throughout the supply chain. On that point, we've had early success in developing partnerships such as the ones we've established, with USA rare earth magnets, in establishing the first complete domestic lifecycle for rare earth magnet manufacturing here at the United States and recycled force with aggregating and pre-processing high value materials to be recycled, while also addressing the social needs to the individuals recycled force works with. It is truly an awesome program. And in our opinion, a great example of how federal investment dollars can be leveraged by the private sector through meaningful collaboration. We continue to have good success and pilot programs and fostering additional collaborative opportunities that we're really excited about developing into long term partnerships. These partnerships cover both rare earth settlements, and critical battery minerals from various feedstocks. And this is an important distinction to also emphasize, and that our technology is the only comprehensive solution to recover and re-purify all of the critical minerals in the entire powertrain of an electric vehicle, including both batteries and motors. No other solution today can offer that value. We are confident as we continue to showcase our competitive distinction, and collaborative value or ReElement technologies division will garner a proper value either as part of American resources or as a standalone company. While Mark Jensen will dive into this a bit more. I will add some comments on how we are positioning the element as a standalone public company. First, it's our team. As a reminder, chromatography has been around for a century and commercially has been used in various industries such as pharmaceutical manufacturing for decades. We recently had the opportunity to bolster our team to support his path forward, and we will continue to add top talent. Additionally, and from a technical perspective, we believe we have the world's best chromatography experts and team behind ReElement division. Whether it's with our university partners at Purdue, our engineering team that has had long standing success developing this technology or operating the foundation of this technology at Eli Lilly or the addition of our Director of Research and Development, our Chief Commercial Officer or battery industry expert Bob Galyen, we continue to position re element as a leader in its space. I'd like to now turn it over to Mark Jensen for some additional comments on all of our divisions. Mark?
Mark Jensen: Thanks Mark. First, I'd like to address the quarter-over-quarter decline in carbon sales. As stated Perry county resources was idle during the historic floods that took place in the region that not only affected the property, but mostly affected our labor pool. And unfortunately, many people were impacted by that flood and are still recovering from that. Ultimately, our decision with Perry is we are currently evaluating restarting the operation. In the meantime, we've also been approached by numerous opportunities that we're currently evaluating to unlock the maximum amount of value for all of our shareholders. When we operate our businesses, we operate them for the maximum shareholder value for all of our investors, be it on a quarterly basis or yearly basis over the life of the operation and the opportunity, and we want to make sure that we maximize that value to our shareholders, and when we bring it back online ourselves, we do it in a highly profitable way. Or if we monetize it in other avenues which we've been approached by that we maximize the value in those aspects. That being said, in revenue, we did increase our revenue by 240% year-over-year from carbon sales, as we are steadfast on monetizing our carbon assets, and a strong market. The special committee we established to evaluate strategic opportunities to better unlock the value of American resources has acted quickly and acting steps to do so. We have implemented a share repurchase program as well as defined our intention to spin off ReElement its own standalone public company. The share repurchase program we announced was during a blackout period. And ultimately, we also have to be cognizant of material opportunities that are being presented to us to not buy back stock during those periods of time. We do believe that and as we did at the time of when we announced the share repurchase program that at current market opportunities, should we be allowed to legally based on the guidelines, the SEC, that it is an opportune time to continue to buy back stock, and we are currently evaluating that, based on those opportunities. We also had the opportunity to repurchase 7.5% stake in ReElement as we were in a position and the special committee was making the decision to spin ReElement off into its own separate public company we believed it was, it made the most amount of sense to maximize the value for our shareholders by being able to take advantage of this opportunity and act swiftly to reacquire that stake in the business, which we did. We believe both of those are accreative uses of capital and better position ReElement and the company in a in a positive way forward for all of our investors of which we hope will drive and continue to drive shareholder value from all of our investors. Given the execution of both American carbon and ReElement technologies, we're extremely excited about the opportunities for both entities, but also believe that the enterprise value as a whole is currently at a substantial discount relative to the sum of the parts or comparable pure valuation. And ultimately, that's our goal is to separate these businesses and maximize the value for our shareholders as we do so and continue to drive both of those businesses for their after. American carbon, we continue to see strong demand for the products that we produce. As I just mentioned, we remain focused on monetizing our carbon assets. And it's a really good time to own high quality carbon assets in this region. Ultimately, what's unique about our properties is we spent a number of years restructuring these operations and streamlining them to be extremely efficient, but also being in a position to ramp them up quickly and efficiently. And ultimately, we have a number of opportunities that are being presented to do so and/or investors or companies that have a great amount of interest in the asset pool that we have today to where we can monetize those. Various county resources was idle for most of the third quarter due largely to the effect of the disastrous floods in Eastern Kentucky that had a major impact on our workforce at Marion county resources. As I stated earlier, our objective is to either bring this back online internally, partner with somebody, reallocate the assets that are present there and/or monetize this subsidiary as a whole should have presented itself. We're evaluating all those opportunities and the opportunities that are being presented to us today to make sure that we can make a decision during the balance of this quarter that will maximize value for our shareholders. McCoy Elkhorn complex continues to perform well. And McCoy Elkhorn complex was a division we acquired from James River a prior to went bankrupt a public company that was a pretty strong producer in the region. What's unique about our McCoy Elkhorn complex is the quality of net carbon that we produce out of this complex is a high volume net carbon, which we believe is going to be an is a current strong market it will be a very strong market in the near future due to the industry the damage taking place right now. Production of highball carbon from a chaotic complex increase 45% quarter-over-quarter with the contribution of the initial development production from our Carnegie 2 mine. Also, as recently announced, we have recently been approved for an enhanced deep cut plan at our Carnegie 1 mine. During the quarter we're also in the fourth quarter we're seeing Carnegie 2 continue to increase its production as it's coming out of its development production and being able to spread out underground to maximize not only the production but the efficiency of the production. Similar to the deep cut plan at Carnegie 1 which we are currently operating under we're able to increase our production while reducing the downtime and the wear and tear on our equipment to make any more efficient operation but also significantly enhance the production at that operation. The McCoy complex continues to be our biggest contributor and our growth engine from American carbon. Now that we have commenced production at our Carnegie 2 mines. We've also started planning and engineering and development of the next few mines to bring online to feed our coil corn complex. Our McCoy Elkhorn complex will be a large contributor of the growth of the next few years. We believe we continue to expand production from the existing mines by adding a second sections there, while also bringing online other mines that are low development cost and easy to ramp up. That would include our Carnegie 3 mine, our mine 17 as well as mine 15A, that belts directly into our processing facilities in that region. Our platform is unique given the significant mining infrastructure that we own, the quality of the carbon that we produce, and have access to in both the Met and the thermal markets. The restructuring efforts and investments we have made to streamline these operations and the growth that we've to provide incremental quality high quality carbon products to an extremely tight global market in both the steelmaking and energy markets. That positions our assets in a very good light given we have current permits that are idle that can come online quickly. As well as we can provide a multitude of products out of our McCoy complex, out of our deem complex out of Wyoming County, as well as Perry and Knott County. We intend to look to maximize the value of these assets in many ways either mining them, partnering on them, selling them and/or entering into lease arrangements which we have recently done at our Dean mining complex. The global carbon demand for steel production continues to be relatively strong, albeit it's off its recent highs do the COVID restrictions in China that we saw in the second quarter, we believe China is beginning to come back online from those restrictions. And ultimately, we're seeing a unique situation take place in the carbon markets today. With thermal coal prices selling above metal prices you're seeing met coal producers, which met coal represents about 15% of the world's production being sold into the thermal market entering into long term contracts, which ultimately means suppliers coming out of the Met market and moving into the thermal market. That creates a very tight market on the met coal side of the business. And the net carbon side of the industry that as China comes back online will create an extremely tight market and we believe very continued strength within the Met coal industry in itself. As stated thermal coal prices are extremely strong, and the world is experiencing its first energy crisis of the 21st century. And with the upcoming winter season, we expect global demand to remain elevated. High energy prices including thermal core driving decade high inflation, and some countries are experiencing energy shortages. The Russian invasion of Ukraine is obviously continuing to exacerbate the crisis. We're seeing demand and interest from overseas companies and overseas parties over in Germany and other locations throughout Europe that are looking for either to acquire assets, or to acquire long term supply arrangements to feed their need for energy that they're currently experiencing. As a result, we're seeing met carbon crossover and the thermal organization stated and putting supply on the supply constraints on the met carbon side of the business. We believe the entire backdrop has put a higher floor in place for carbon prices for the foreseeable future. This puts our growth oriented American carbon platform in a very unique position as being one of the largest sources of domestic growth in the market. And we continue to assess strategic options across all of our carbon assets. For American carbon, we continue to focus on the things we can control and continue to ramp up our McCoy Elkhorn complex production and to have a definitive strategic course of action with Perry County in the very near term. We also continue to evaluate leasing other idle assets that can be the thermal market and/or the met market. The mining we have been told by our leasing or lease partner over there that they anticipate starting production up very rapidly and have the equipment in place to do so. Additionally, we remain focused on progressing our Wyoming County West Virginia complex in the next year. As we have recently communicated we continue to work through the process of the $45 million taxes debt bomb to the state of West Virginia that we've been preliminary approved for. We've been working with our underwriter Hilltop securities, as well as the allocation commitment provider for the 4.9 million of federal new market tax credits. We believe the recent leveling of inflation and the stabilization within the bond markets will help us expedite that process to get that close and get Wyoming County in a development phase for not only the Met mines but also our electrolysis technology from producing a fully integrated rare earth on a concentration site. With the issuance of two non-dilutive capital sources, we're excited to showcase how we will position this complex to be the first of its kind, advancing carbon and RE processing facilities by combining the premium mid volume met carbon production, and the unique rare earth capture and process technology on site fully integrated. Let's talk a little bit about our ReElement division and expand upon Mark's recent comments I firmly believe as the first commercial producer of isolated and purified critical and rare earth elements in the United States market, that we are extremely well-positioned to capitalize on the growth that we see coming online in 2024, and 2025, as well as 2023 on the rare earth element side. We've seen a number of battery manufacturers state their intentions to come online and 2024 and 2025. And we're working with some producers that are already online. Eminently becoming, the market most efficient and flexible producer of sustainable battery materials we believe will enable us to continue to grab market share within this industry. While also introducing a practical and efficient solution to addressing the world's recycling needs. We're at the beginning of a very new and exciting era. Ultimately possessing a technology that can scale up as the supply scales up and the demand skills up versus having to build and outweigh a half a billion dollars to a billion dollars to build a facility that's overshooting the current size of the market we are able to grow our position within the market as the market demand is needed as well as the supply as needed. As we continue to showcase our unique positioning and quality of critical mineral products, we are confident and incremental collaborative partnerships that we are entering into. We have a number of partnerships and MOU that we've already entered into, as well as are currently evaluating some very attractive opportunities to further scale our technology into the commercial marketplace. As we continue to launch our initiative, our innovative process and as the most efficient solution of refined critical materials to qualities needed for domestic manufacturing, we are in a good position to begin realizing revenue by year end, and expect those revenues to continue to grow throughout 2023 as the domestic downstream manufacturing marketplace further develops. As stated already, we've entered into an offtake with USA rare earth and we're excited about the developments of the facility we've been had the opportunity to visit their facilities in Oklahoma and we're extremely impressed by their level of development and the progress that they're taking place to come online. Now that we're first to market with ultra high purity and separated rare earth elements, we will more broadly showcase that we are the best solution for the domestic needs. In fact, I don't think there's another process team or technology out there that is better positioned or can accomplish what we can accomplish with our technology. Beyond 2023 We believe the passage of the inflation Reduction Act, which includes some significant and aggressive tax targets for the auto industry, including the extension of the Evie tax credit with no cap, as well as within the advanced manufacturing tax credits for critical minerals will boost our relevance revenue growth and profitability. Just to remind as a reminder, for the EV or clean vehicle tax credit 40% of the critical minerals in the batteries will need to be sourced domestically from a free trade country or recycled in North America by 2024 and increase each year thereafter until 80% by 2026. To our knowledge, there is no other competitor within the space that can produce these products domestically. For the advanced manufacturing tax credit, it establishes a new credit amount that amounts of 10% of the total costs incurred to produce applicable critical minerals, including the magnet and battery minerals we've already showcased we can produce. The end and ultra high purity grades required to receive the tax credit. When we booked this business line in place, and we develop this technology, we didn't build it to with the need of having subsidies or government based capital. That's what puts our business in a unique spot. We are nimble, and we are focused and we can grow rapidly. Now with these additional tax credits in place that makes our business more profitable. That wasn't a requirement of our business. That being said these federal initiatives hit right at the heart of what we're doing at ReElement and the fact that we've already proven our process and our technology on a commercial scale puts us in a great position to be the value added domestic supplier of sustainable critical minerals to the EV and clean energy sectors, as well as the DOD. We remain very confident in the position of our assets and the long term value they provide to our shareholders. We remain hyper focus on unlocking that value and we have already communicated our initial strategic steps to do so. We don't foresee us needing to issue equity to raise cash, especially with some of the sources of non-dilutive capital that we have available to us. Just to reiterate, as the largest shareholders of American resources, our management team is committed to maximizing the value for all of our shareholders in the short term as well as the long term. With that, I'd like to turn the call back over to the moderator for some Q&A.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Thank you. Our first question is from Heiko Ihlewith H.C. Wainwright. Please proceed with your question.
Heiko Ihle: Hello, everyone. Can you hear me all right.
Mark Jensen: We can. How you doing Heiko.
Heiko Ihle: Excellent. Thank you. I'm calling from Zurich right now. And I spent a good part of last week in Germany as well. Let me tell you the energy crisis that you were describing earlier on this call is not just real, but it is on everyone's mind. People having a hard time paying their heating bills, geopolitical risks in a couple of countries away. Not pretty over here. Anyways, your allocation commitment of $4.9 million at new market tax credit that did you got. Can you give a little bit more color on that how much more that you might be able to see and just the financial aspects of it? Just more background information, please.
Mark Jensen: Yes. I'll try to address them if I needed to have Kirk jump in. But 4.9 million was combined with the tax exempt bond issue. And so that'll be that provides us we are with that 4.9 million on the new market tax credit, as well as the taxes and bond issuance, the Wyoming County Complex is extremely well capitalized. That provides significant working capital and development capital to fully ramp up not only the mining operations, but also the electrolysis technology, which will tie into the back end of our processing plant and utilize that what that processes the slurries, the waste material coming out of the prep plant to capture the rare earth elements, and that's producing concentrate, which will then feed our chromatography technology. But that 4.9 combined with the 45 million our taxes, that bond fully funds that operation with a pretty healthy cushion in there.
Heiko Ihle: That's helpful. Perry county, obviously for outsiders, maybe just a touch of a black box right now. Can you just go through what exactly is happening inside? I mean, I know you should, though, because of flooding, but I assume the water is gone, or is it? I don't know. Is the infrastructure damaged? How many people are actually there doing the care and maintenance right now? How much is the outflows for call it October and November or I guess Q4 even if you want to be bold and guesstimate that. Just maybe a touch more background on that, please.
Mark Jensen: Yes. So what happened in Perry County, and that area of the world was very unfortunate for the community. The floods were, I mean, I've never seen anything like it. We did get water within the mine. It did not damage any of the infrastructure and/or the mine itself, we just had to pump that water out. The local community was hit a lot harder. So our workforce is hit extremely hard. A number of our employees lost their homes. And a number of those employees are currently living elsewhere until they can rebuild. And so that's part of the problem is when we look to evaluate it is making sure we bring it back online in a highly profitable state. Now as we're evaluating that we've had numerous alternatives that have been proposed to us. Some a number of overseas companies that have stated expressed a lot of interest in that property of partnering with us and/or potentially acquiring it, which we are evaluating all those opportunities and make sure that we maximize the value for our investors and ultimately, we don't, we're not trying to manage quarter-to-quarter. We're trying to manage for the long term fundamental the business and making sure that as we bring this back online and whatever structure that is that it maximizes the value for our investors and some of the opportunities that are being presented to us are extremely attractive right now. And so we're looking at making it a decision all those avenues with my year end, and we believe there will be highly accretive to our shareholders.
Heiko Ihle: Yes. Fair enough. That's all from my end. Thank you very much. And keep up the good work.
Mark Jensen: Thank you. And I apologize, I couldn't give you a concrete answer on that, because we are currently evaluating those opportunities as we speak. But I can assure you that as an investor in this company, we're excited about the position that those assets are in today.
Heiko Ihle: Understood, it's just sometimes you just like this on inbounds. And I frankly couldn't answer a whole lot more than I saw on the release which is why I brought it up. Well said. Thanks again.
Mark Jensen: Thank you. 
Operator: Our next question comes from Michael Samuels with Berthel, Fisher. Please proceed with your question.
Michael Samuels: Hey, Mark, how you doing? Two questions on the American carbon side. One is, do we have any business interruption insurance to cover the Perry over the last quarter and this quarter? That's number one. And number two, what happened with the guy who was leasing the land has started any production yet? Because I know, as opposed to getting 20,000 a month, we could be getting $5 a ton. Just wanted to --
Mark Jensen: Yes. So we haven't notified our insurance providers. I said, that's a very complicated process, to see what is available to us and ultimately it's floods in Eastern Kentucky are not something typically covered by insurance for internally on properties. That being said, it's what we're evaluating, as I stated earlier, is some very attractive opportunities for the Perry county complex. But to so yes, on the insurance side, we've notified our insurance providers, I wouldn't anticipate a lot coming from that personally. But I'm not an insurance guy. And I will let them evaluate that. On the [demining] conflicts that we've leased out, we have been in constant communication with them. I spoke to them on Sunday, they have moved to a high wall miner or moving high wall miner on site, which is a high performing high volume method of mining. I'm excited that they were able to get that in there. They have stated to me, they're in final stages of going through all the different proxies to bring that mine online. And I think they have to do so within the next 30 days. And you're right. I mean, right now we make it's a great deal for us right now, they cover our cost, they pay us monthly. As they commence mining, that number will increase dramatically. And that's pure cash flow to the business. And we're excited about supporting them helping them in any way to get them up and running. And they were extremely excited about their progress of getting up and running. So we anticipate that eminently.
Michael Samuels: Okay. Okay. Thanks a lot.
Mark Jensen: Thank you.
Operator: Our next question is from Steven Segal from KBB Asset Management. Please proceed with your question. 
Steven Segal: Thank you. Hey, Mark, and Mark, great job and doing everything your company, especially in the relevant division. I had a couple of questions. I know in you've already talked about this a little bit you create a special committee to unlock value. Beyond what you said in your prepared remarks, is there anything you can enlighten us with as far as the progress in those fronts beyond what the spin off you're doing? And how the current market is affecting the value of the core properties you're trying to monetize?
Mark Jensen: Yes. Well, thanks for joining Steven. It's an exciting time right now. In terms of the current market is really unique. I mean, you're seeing there's not a lot of unconditional increase of production taking place within the carbon market worldwide. One, everybody supplies and infrastructure. And then the permits required to bring new mines online is very challenging. And now you also see Germany coming to market trying to buy 29 million tonnes a year for the next 10 years, as they made the decision on what their energy source will be given the Russia-Ukraine situation that they're facing. That is putting an extreme value on permits and infrastructure that are ready and able to come online quickly. And so we've had, we're evaluating numerous opportunities that we believe will maximize value for our shareholders. One being partnering with people. We have customers that are coming to us offering significant capital and to bring minds online either in an uptake or joint venture scenario. We've had overseas companies expressed interest in acquiring or operation. Our duties are to evaluate all those opportunities that will drive the maximum shareholder value for the investors and position for the companies. And so we're currently evaluating that. But we're not, we've never built a business to sell and we've never sold an asset. We don't, we're not intending to sell any assets unless they come to the table [indiscernible]. But we are focused on ramping up our cash flows and monetizing the value of our assets to drive earnings per share for our investors.
Steven Segal: Right. Okay. And then, thank you for answering that. And I feel like when you talk about the property, it's all property. So it's not just you because I know you have a numerous properties that you could monetize.
Mark Jensen: Yes. And we're evaluating. We've been approached on numerous opportunities, given the vastness of our permanent base and infrastructure, because we own five processing facilities across over 19 million tons of carbon a year. We own rail, five rail loadout facilities that access both the CSX and NS. We have over 54 permits that are fully permanent operations. We're in a unique spot. And ultimately, it's right now we're focused on ramping up the McCoy complex. McCoy itself to ramp up to a couple million tonnes a year and doesn't need a lot of capital, given the current growth of the business. We're right now we're focused on driving cash flow for the investors and ultimately probably utilizing some of our cash to buy back stock should we be allowed to given information known and SEC guidelines. But ultimately, that's our focus right now. And in the meantime, we do continue to evaluate these opportunities that are being presented to us and we'll continue to do so.
Steven Segal: Okay. And my second question, actually regarding the buyback, because I know you've been in blackout period for a long time. And I believe this week, you'll be out of blackout period with the stock down here, which, to everybody on these calls are all the industries, that seems like an amazing value. As far as whether you pull the trigger to buy stock back, is that based on the value or other uses of cash or?
Mark Jensen: Yes. Good question. Yes. When we announced the stock buyback, when the stock was at around three now, we've been in a blackout period until we filed our cue. And I think we are until three days after that, yes, I mean, we believe that it is highly undervalued right now and ultimately, should we be able to, we intend to exercise the option to buy back stock. We do have to be cognizant of material information that if we are working on something that we believe will be very valuable to our shareholders, we have to be cognizant of not buying back stock knowing that information until there's resolution one way or another. But and we are, so we are we're navigating around those aspects just to make sure that you do what's right by all right.
Steven Segal: Okay, great. That's all I had. Thank you.
Mark Jensen: Excellent. Thank you Steve.
Operator: Thank you. Our next question is from Mike Niehuser with ROTH Capital Partners. Please proceed with your question. 
Mike Niehuser: Hey, Mark, try not to run out of time here is do I understand that you have not received any revenues from Dean yet or it hasn't yet entered production?
Mark Jensen: We receive revenue from there. They have not commenced production though. So we have minimum royalties that they owe us. And so we get paid those on a monthly basis, and we got paid a fair amount of money up front as well. But they are and then they'll continue to do that until they get into production. But ultimately, they have I mean, the progress that they made there has been phenomenal. Not only that, but we own the assets their stuff, and they put a significant amount of money into upgrading the facilities there to start production and I would estimate they put over a million dollars, if not substantially more than that into the processing plant and itself. And so they are progressing nicely in terms of their development and the equipment they're bringing in is worth I mean Hywel miner itself today's worth about $6 million-$7 million. So they're, they're bringing in some pretty heavy equipment to increase to start production there. And I'm excited about what they're doing. I mean, we all want to see and produce. It's a fun day when our mine starts there. They're getting close to doing that. So it'll be it'll be exciting times here in the next 30 days.
Mike Niehuser: Well, it sure is, it was fun to see Carnegie two where it was just a short time ago. Can you comment on a range of time where you might see Carnegie 3 out in the future or mind 17 or 15A readied for production? Do you have any kind of idea what quarter that might be in the future?
Mark Jensen: Yes. So I would say the first the next virtue we'll see out of the mining industry is the second section at Carnegie 2. They're progressing towards that as we speak, also a deep cut plan at Carnegie 2. So that will combined will increase production there pretty significantly. And that's a, so that's the next phase of growth at McCoy. And then I would actually say probably mine 15A, given it's an idle mind right now that can come online, we're interviewing contractors for it as we speak that can be one that comes online pretty quickly. I would say that the team says before end of the year, I would say probably pushed at the beginning of January or into January. That'll be a nice additional revenue growth. And then 17 and Carnegie 3, we're evaluating which one of those we'll start up next. But those are probably first quarter events, the end the first quarter. And so it's McCoy complex is a valuable complex, because one, the processing facilities are state of the art, they're the best in that area. They're the biggest in that area. And I mean, the facilities build out to the nines, James River spent hundreds of millions of dollars building that facility. And so we're the beneficiaries of that capital, but also the mines that can feed that complex like 15A and 17, to Carnegie 3, there's a rapid amount, there's a vast amount of opportunity and growth at the McCoy complex to ramp up to, I mean, internally, our target is around 2 million tons a year that we can ramp them up quite complex up to it and current market, that's a phenomenal number. Now, that's not going to happen overnight. But the uniqueness of that complex is it's already it's production ready. And ultimately, they're all within a very short distance to the prep plan to continue to ramp up production.
Mike Niehuser: Were there any impacts to the facility with the rains on the last go round? Or did it pretty much avoid all that trouble?
Mark Jensen: In the third quarter, I mean, we were delayed, because, I mean, I will say that a lot of our employees were helping other neighbors. And they were I mean, helping their families. And I mean, so there was, during the third quarter, we had, we probably had two to three weeks of delays that even at the McCoy complex, that impacted our numbers a little bit. We also ended the quarter with quite a bit of inventory at cost on the ground too. So that would have been a lot higher in the third quarter as well. So I mean, those impacted the quarter, they didn't impact the facility. So the McCoy complex in that area of Kentucky, I mean, in the mountains, when storms get over certain areas, they hover over them and unfortunately, that has a region guy hit really, really hard. Letcher county, Dean area got hit pretty hard, did not infect does not affect our infrastructure down there. In the McCoy complex, didn't really get hit that hard at all. It was, it kind of avoided that region. So it didn't affect our any of our infrastructure.
Mike Niehuser: And at Perry, you avoided any water coming off the site into the rivers, environmental issues, that kind of thing.
Mark Jensen: Yes, no, we've environmentally did not have any issues. I mean, there were flies all throughout our properties. And we're the heart one of the largest permit owners in eastern Kentucky. So it's a I mean, there was definitely environmental work to make sure that there was never an impact to the environment. But environmentally, as a business over the last year, we've crashed, we have over $8 million of additional bonds rolling off here in the near term, or bond releases that will go into place in the near term. And so it's, the floods didn't impact us too much on the environmental side, or didn't we mitigated any potential impact after the floods to make sure that there was no impact there and Perry even at Perry now there's, it's the issue is, is the workforce in that region, because ultimately they're been displaced. The mine is actually we've I think we've fully got approved to, for the mine to be released now, in the last week or so. So we got a lot of that stuff cleaned up, there was no long term damage to any of the infrastructure we made significant improvements to the mine to be even more efficient when we bring it back online. Set it up as a three section mine where we were previously operating around one and a half section. So it's set up as a beautiful complex right now. We're pretty excited about it.
Mike Niehuser: Well, I'm really excited about what you're doing on the rare earth and lithium ion battery recycling side. And really looking forward to seeing news about the commercialization of the lithium ion batteries etc. When do you think that you might start seeing meaningful revenues out of either one of those efforts? And by meaningful, I just mean something that's reported on your income statement that wouldn't be maybe accounting wise considered like a development offset? And in that question, I'm wondering about if you've had any other thoughts about additional site expansion? And lastly, if you don't mind meters running on there, I'm really interested in this USA rare earth magnets. And it sounds like they're developing the facility. So a lot of this revenue seems to be '24 and beyond. Is there something meaningful you might be able to put up on the board and ’23?
Mark Jensen: Yes. 
Mike Niehuser: Sorry for the long question, Mark.
Mark Jensen: Yes. No, I'll try to remember and I'll do my best. In terms of revenue generation, and we'll start generating revenue in the fourth quarter, meaningful, probably in 2023. The business is set up to expand. We've done, we brought all the internal leaching in house since last time, you've seen the facility it was obviously quite different need to get you back to Indiana, when you're around the region, because it's looks completely different than when you saw it last with the battery drain in there with the full leaching and house at scale now. So that's progressing nicely, the facility set up to scale revenue pretty rapidly selling battery materials, you can sell them 10 times over same with rare earth elements. USA rare earth, phenomenal team, I haven't met the new CEO yet. We intend to speak this week. Great business. They are doing a great job of setting it up. They're set up to be the largest magnet manufacturer in the United States will be the first magnet manufacturer in the United States at commercial scale. So we're excited to be able to partner with them and provide them the raw materials they need to supply domestic manufacturing and world so then we have a nice relationship with them. And we're collaborating on partnerships on the downstream and upstream. We've introduced them to some of our OEM friends. And they obviously have their own relationships and they're doing great, I mean, I having the luxury to be out in Oklahoma at their facility was extremely impressive. In terms of our scale and growth, we have our current Noblesville facility, we have a property in Noblesville, we're evaluating. We also have begun pretty advanced discussions on a site location and in media and Indiana for a extremely large facility well north of 250,000 square feet north of 300,000 square feet that we are in advanced discussions on to take the business to the next level. Furthermore, on the growth of ReElement is the ability to co locate we have the one technology in the industry that can co-locate with battery manufacturers, as well as with magnet manufacturers for recycling their waste product. That is key. Ultimately, there's a lot of waste that comes out of the battery space north of 20%. And battery manufacturing. We're the only technology that can do that you can't put a solvent extraction facility inside of a battery manufacturer, wouldn't work, the motion of high, highly toxic chemicals inside of a battery manufacturing plant would not work. Our technology can and will. And that puts us in a really unique spot for growth. And we're in conversations on some really attractive opportunities to do that in part with partners that need these battery elements. They need lithium. They need cobalt. They need nickel. And then more importantly, the ability to process LFP batteries, I believe personally, that over 50% of the battery market will be LFP. 95% of the battery recyclers that you read about don't care about LFP because it doesn't have cobalt nickel in it. All they do is produce black mass and sell it to smelters. They don't sell it to battery manufacturers. We do we take the battery grade material, that's a key differentiator of our technology. And that's why we've been able to attract some of these relationships that we're working with now. Because ultimately, we can process LFP very, very efficiently to get that with lithium right back into the supply chain of the battery manufacturer. So on the growth side, that's ultimately where we believe it'll be. I think that answers all your questions. But yes --
Mike Niehuser: And an excellent job at that. One last question. Sorry for filibustering here. I'm really glad you bought back the 7.5% of rare earth element. And was that for cash or stock? And can you tell me what the amount of consideration for that?
Mark Jensen: Yes. We did not disclose what the consideration was. But it was not in stock. It was in equal consideration of what they paid. And so we had the opportunity to do that we wanted to spend the ReElement division off and when that opportunity presented itself. We worked with them to get that deal done. I have nothing bad to say about heritage great, great company, ultimately, continued dialogue with them. And ultimately I wish them the greatest success but when we had the opportunity to buy it back for our investors that made the most amount of sense, and we moved aggressively and quickly to get that deal done when the opportunity presented itself.
Mike Niehuser: Well, it obviously makes it cleaner to spin out that business. And it just seems like the Heritage Group has been a great partner. So that's all my questions. Thank you very much. And good work and difficult times.
Mark Jensen: Yes. It's exciting times. I will say it's, both of our divisions are seeing demand that we've never seen before. And we're ramping up production of both. It's probably one of the most exciting times I've seen in my lifetime.
Mike Niehuser: So best of luck.
Mark Jensen: Thank you.
Operator: Thank you. [Operator Instructions] Our next question is from [indiscernible] Partners. Please proceed with your question.
Unidentified Analyst: Hi. I've wondered, with the cash on hand in the burn, do you anticipate that you will have to do a raise to sort of bridge you over?
Mark Jensen: No. We want to do an equity raise. We have, as Kirk mentioned over $18 million of available liquidity between our credit facility cash on hand and receivables. That's a and then ultimately, I will say we I mean, at our Carnegie complex. We had record production last week. That's and with and so we're, we've also cut back on our development spending on the carbon side significantly. We have development costs, obviously hitting the balance sheet of holding company through relevant that's being done through don't credit facility though.
Unidentified Analyst: Okay, majority capital of the capital --
Mark Jensen: Yes go ahead.
Unidentified Analyst: And the price of coal. It's come down a bit lately, but how is your spread going from costs to what you currently being able to get?
Mark Jensen: Very good. I mean, some net prices are down from third quarter or from second quarter and the third quarter, they were down like they were down from the second quarter, second quarter. I mean, Amazon doubled in the second quarter, that was phenomenal. And I actually think next year, we'll be stronger than that given the fundamentals in the market, it's one of the if you look at the fundamental nature of the market right now with met coal being solar, thermal coal and long term contracts. And with China, the China controls the fuel market, China controls commodity market. And we -- I've been in the [indiscernible] industry for 20 years, they've always have their shut down effectively for COVID. Right now their COVID restrictions have put them in a spot where they've slowed their economy down pretty significantly, which ultimately, they produce over 50% of the world's steel. And so that's when they come back online, and you're starting to see them come out of COVID actually announced something this morning that which is actually a little bit earlier than I thought they would, that they're starting to release some of their COVID restrictions. As they come back online there's no way to increase production in any material nature in the world, the coal industry is tried. So I see you have a really strong, coal market now our spreads right now, even with a down it's still way up from over a year ago. And so it's and with the like the deep cut plan that it just adds additional margin to the balance to the income statement. Adding the second section of Carnegie 2 will be extremely accretive to our, really to our cash flow. So with current markets, I mean, if you could say I could sell this, cause this market for the rest of my life, that'd be phenomenal. And so I we actually see a lot of strength coming in the market in the near term because of the fundamental nature of the markets and prices are still really attractive.
Unidentified Analyst: Right. And then just to go back to the railroads from the magnets. What do you think is that, what's the next sort of catalytic investment? Not investment I'm sorry, catalyst news event that shareholders should look for? Because I think that that's just really starting to go and I would expect that it seems overlooked dramatically by the rest of the investing market. I mean, it's very unusual what you're doing. So I'm trying to understand what might be the next thing that will get investors to understand how unique this is?
Mark Jensen: Yes. There is quite a few things. We have a busy balance of the year. Partnerships that we continue to move forward on, some signs, some in development. There'll be a once our partnership cutter, we'll get those out there additional developments site selection for the facility, battery production train, coming online full scale, expanding in our current facility, processing lithium ores is something we've been working on that we feel extremely good about with our technology. Chromatographic separation for lithium spodumene is a very attractive opportunity for us given the uniqueness of our technology. And then additional partnerships on the feedstocks with magnets, as we are very close to having, there's only three companies in the country that I know of that are talking about producing magnets at scale. And we are in conversate, we actually partner with USA Earth. And we're extremely excited about that, excited about that team. And they're where they're at in the space. And then there's a more novel approach that's coming online that we are in conversation to partner with. And so it's I mean, we're one of the only people in this space, the unique thing about our business having the ability to produce both rare earth elements and battery elements using cryptographic separation is the opportunity to fully leverage the platform. The magnet side is very high margin, the magnet materials are almost 5x on a per kilogram bases that battery materials sell for. But more importantly, the LFP chemistry is actually extremely attractive. If we just started the lithium, our processing costs dropped dramatically were sub $2 kilogram to produce lithium from their lithium spodumene or from LFP battery chemistries. And that puts us in a really unique spot in the industry, because we can process materials that nobody else wants to because we don't we don't use solvent extraction, right. don't use harsh chemicals and toxic chemicals to do so which are extremely expensive to operate.
Unidentified Analyst: Right. Well good. All right. That's good.
Mark Jensen: Well, thank you. I appreciate you joining the call.
Operator: Thank you. Our next question is from Paul [indiscernible] who is a private investor. Please proceed with your question.
Unidentified Analyst: Yes, thank you. Can you hear me all right?
Mark Jensen: We can.
Unidentified Analyst: Relative to the coming to the rare earth business. It's a new business. I'm wondering how tight your partnership is with the processor? Do you have room as you learn what's going on in this business to adjust pricing? Or can you sell into alternate channels? How bound up are you?
Mark Jensen: Yes. So our rare business we can sell anybody and make it's all throughout the world. We're not restricted. We don't have any exclusives with anybody. We're obviously excited about our partnership with USA Earth and intend to supply them a lot of oxides. For them for the magnet manufacturing space. I love their domestic model, I think it ultimately will qualify for a domestic supplier given and so I love their focus, I love their team, and they're great partners. That being said, we can sell to anybody and ultimately will sell to other parties, including we think the DoD would be a natural fit as a buyer of the products. And I've had numerous conversations with numerous numerous government agencies, given their need, and their demand for rare earths and battery materials. 
Unidentified Analyst: Is there a possibility on the processing side on the proprietary processing that you have, that you might distribute that processing to purchasers of the products so that they can supply some of the capital in your growth?
Mark Jensen: Would we supply, so would we effectively license it to them to an extent?
Unidentified Analyst: Well, not necessarily licensing, but provide their ability on site to do the processing?
Mark Jensen: 100%. That's cool locating on battery material.
Unidentified Analyst: That’s what I’m referring to. I sense that. Thank you very much.
Mark Jensen: Yea I mean, that's what I'll say to that question is that that is the uniqueness of our technology is because we can't do that. Because of our footprint that we utilize is so much smaller than solvent extraction, which is the only other method of producing critical or rare elements that you hydro met, which is solvent extraction, could not be co-located. We can co-locate because of the uniqueness of our technology with battery manufacturers as well as magnet manufacturers ultimately reducing its optimizing right it's reducing the logistics costs within the footprint of the space. If you're going to buy an electric car, you want to pay as little as you possibly can for it. The battery manufacturer is taking their waste material shipping it 200 miles down the road or 500 miles down the road to be processed at a solvent extraction facility. That adds a tremendous amount of cost and logistics we can do that in house at facilities and we're progressing nicely on that front.
Unidentified Analyst: Clearly, the Chinese got their monopoly in this business by acquiring that processing. And they had the margin and a processing to squeeze Toyota in the past. And it's really a critical area.
Mark Jensen: The final stage purification is what that's where we started. Most of the people in the batteries, they started at the shredding side of producing black met and selling it affect China, which is where everybody does today. We started with a purification because that's the bottleneck in the equation. And that's why we put that focus over the last three, four years, is to make sure we had the most efficient process of doing that. Because ultimately, that's what makes our business valuable. And we'll showcase that over the next year.
Unidentified Analyst: One of the overhanging questions we have as analysts looking at this new process is how confident are you that you can ramp up the throughput?
Mark Jensen: Extremely.
Unidentified Analyst: Thank you.
Mark Jensen: The process, the trade secrets, the technology in itself, the team we have in place between [indiscernible] Bill Smith, Jeff Peterson, J. Campbell, and number of other teams and Dr. Wang and her team at Purdue. Our team at Texas Tech led by Jerry body and Christian Pergolesi. I mean those, the team we have in place have enabled us to optimize this technology. I mean, Bill Smith was at Lilly for 35 years building there and engineering and building their chromatography facility. They produce over $3 billion of insulin using chromatography. chromatography also processes high fructose corn syrup. So it processes high volumes of material, scaling our technology, we've proven that it works better at commercial scale than it did a lab scale because it's all about surface area, surface area to the residence. And so going bigger columns going taller columns, adding additional production training, we're highly confident our ability to scale it and we're excited about what we're getting ready to do here in the very near future.
Unidentified Analyst: Will you benefit from the culture that Purdue put together from other companies?
Mark Jensen: So I'm an IU guy. I went to Indiana, both my parents went to Purdue but I do love Purdue University. The team there. And I mean, Mitch Daniels from the top down, we built a great build a great university made it extremely efficient. Dan Hassler, who just took over as Purdue Indianapolis, the head of it at this transition, which is phenomenal. I mean, they have a great team and then ultimately, it's Linda Wang. Linda does a great job of driving the PhD she works with and the postdocs and everybody else to think about commercialization first understanding the importance of it. So do we hope to learn from the culture of Purdue? I mean, we're for profit business. We do things different than universities but Purdue is a great university and a great to what we do.
Unidentified Analyst: Thanks.
Mark Jensen: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mark Jensen for closing remarks.
Mark Jensen: Well, I want to thank all the investors for dialing in today. We are excited about where we are currently positioned. We are extremely excited about the value of the assets of our business and the cash flow these assets can generate. We are at a unique inflection point of the business and ultimately we have accomplished a lot over the years and we anticipate accomplishing a lot more in the balance of the year. We are and continue to be the largest shareholders of the business and working on getting my 10-B five plan back in place so I can buy more stock. But ultimately, we believe that the fundamentals of the business will continue to drive value, and ultimately create value for our shareholders and our management team, our board of directors are focused on driving this value every day in every decision that we make for all of our investors. Thank you for joining the call and look forward to the future calls.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.